Operator: Good day, and thank you for standing by. Welcome to the fiscal 2022 Q1 earnings call. [Operator Instructions] Please be advised that today's conference is being recorded. And without further ado, I would now like to hand the conference over to one of your speakers today, Mr. Jim Ferrell. Please go ahead, sir. 
James Ferrell: Thank you, and good morning, everyone. Welcome to the First Quarter Fiscal 2022 earnings call of Ferrellgas. Some of you have submitted questions ahead of time that we will address at the end of the call, if we have not done so in our remarks. I will allow our Chief Operating Officer, Tamria Zertuche, to talk more about how well the company is running, but I want to say a few things about why we continue to perform so well. 
 We are building off of what was begun over 2 years ago when metrics and dashboards began to appear as our very modern technology platform was implemented. All of this accelerated when the COVID crisis hit and we were able to nip far flung management together virtually like never before. Over the course of the last 12 months, Tamria has continued our transformation that at its core, became a learning organization, teaching our people about responsibility and accountability and about business. I could not be more proud of how they have responded. 
 I will now turn the floor over to Tamria. 
Tamria Zertuche: Thank you, Jim, and welcome to our first quarter fiscal 2022 earnings call. Thank you all for joining us. I would like to remind you that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors, could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K filed earlier this year and other documents filed from time to time with the Securities and Exchange Commission. 
 Additionally, we note that the purpose for this call is to discuss the results of operations for the first fiscal quarter ended October 31, 2021. 
 The company's strong performance was driven by operating income of $12.4 million for the first quarter. This represents an increase of 60% compared to the same period last year. The company demonstrated continued operational excellence at the strategic initiative of delivering gallons more efficiently, which led to continued containment of operating expenses during the quarter. 
 These operating expenses as a percentage of total revenue were approximately 7.4% lower than the prior year period. Margin per gallon for the quarter increased by $0.11 or 12% higher than the prior year period. This resulted in an increase to the first fiscal quarter gross profit of $10.8 million or 6.7% higher than prior year period. 
 The company's continued emphasis on leadership, development, excellence and operational expense management and implementation of logistics fundamentals continues to increase efficiency and profitability. For the quarter, the net loss attributable to Ferrellgas Partners, L.P. was $8.6 million or $5.25 per Class A unit compared to prior year first quarter net loss of $46.1 million or $9.39 per Class A unit. 
 Adjusted EBITDA, a non-GAAP measure, increased by $3.4 million or 10% compared to prior year quarter. For the first quarter, adjusted EBITDA was $37.3 million compared to $33.9 million in last year's quarter. The Ferrellgas family of employee owners continues to grow. Ferrellgas welcomed its newest acquisition to the first quarter. StarLite, located on Long Island, New York, and Northern Cascades in Washington State. These acquisitions will strengthen our positioning in those areas and strengthen our foundation for growth in years to come. Additionally, Blue Rhino continues to be the market leader in tank exchange. 
 During this past quarter, Ferrellgas began its partnership with Operation Warm, bringing warmth through winter coats to families in need across the United States. Ferrellgas employees support the communities they work and live in in 2 ways with great service and by giving back. The partnership represents the company's continued commitment to the areas we serve. 
 Our management development program continues to be a success, while also contributing to our performance. Now in its second year, we will host the fourth class of candidates beginning in February. This leadership initiative provides an opportunity for excellence in leadership, logistics and operations management. 
 As we continue to evolve into a technology-enabled logistics company providing a clean desirable fuel to a tenured customer base, we have acquired a new service mark, FUEL LIFE SIMPLY. This mark was built on consumer data that shows propane consumers value simplicity. Our expectation is that this new branding will help grow consumer preference for Ferrellgas while telling the story of what our company stands for. 
 In an effort to provide more transparency, we will address a few questions that we have received over the last several days. Jim will take the first question. 
James Ferrell: I'm going to add one in here that we hadn't planned on. There is always a question about our CFO leaving the organization. He resigned, and we will begin a search. That's about all I can tell you.
 Also I have a question about whether we have formulated a strategy to address the B units to minimize eventual dilution. And the answer to that is pretty simple. We have a long-term financial plan, which includes the repayment of the B units. As employee owners, it's in our interest to ensure the least possible dilution for the As. We will continue to analyze the best solution to decrease our leverage. 
 Second question I'm going to answer is that can you provide an overview of the current M&A environment and your strategy for acquisitions? 
 The current economy has created an environment suitable for small businesses interested in selling. We'll continue to focus carefully, strategically about acquisitions. Our focus will be on opportunities that meet our standards, will leverage our network and create economies of scale. 
 Can you explain why the company's commodity hedge position has doubled in the last year? 
 That hedge, by the way, backs up our fixed price sales primarily for our Platinum Plus program. And the cash you see on the balance sheet is the exchange giving us mark-to-market increases over what we have bought at. It's not a speculative position. Platinum Plus is one of the best in the business, accounting for about 30% of our estimated total volume. 
 And what are our plans about capital allocation? Well, we're actively acquiring new customers, customers that will make us money. And the growth there is the area we focus on for capital allocation. Our high-performing sales team is winning in the marketplace. We also anticipate continued success in M&A. 
 Now I'm going to hand it over to Tamria to answer the last few questions. Tamria, you're up. 
Tamria Zertuche: Thank you, Jim. Ferrellgas has -- the next question is that Ferrellgas has seen 3 consecutive quarters of year-over-year decline in retail customer count, what's driving the decline? 
 The timing of our delivery that we look to be very efficient, right time deliveries, does move gallons out. Additionally, we have been very intentional about our strategic asset management that has allowed us to move more gallons through our current customer base. 
 The next question is how sustainable is Ferrellgas' current trend of margin improvement? 
 We have shown consistent improvement in all aspects of our business and this excellence in the areas of cost management or customer service, and then our focus on our employee base and the retention of our employee base is a solid foundation for continued success. 
 That is the end of our questions. I'm now going to turn the call back to our moderator, but before I do that, as mentioned in the announcement for this call, any additional questions may be submitted via our Investor Relations e-mail box at investorrelations@ferrellgas.com. Thank you. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Presenters, please stand by.